Operator: Good morning, ladies and gentlemen. Welcome to our Q3 and nine-month 2023 results conference call of ProSiebenSat.1 Media SE. This conference is being recorded. Today's call is hosted by Mr. Dirk Voigtlander. Please go ahead.
Dirk Voigtlander: Good morning, ladies and gentlemen, and welcome to ProSiebenSat.1's Q3 2023 results conference call. Today's conference call will be hosted by Martin Mildner, CFO of ProSiebenSat.1. During the presentation, Martin will take you through the group's financial and operational performance and comment on the full year outlook. Please note that Martin will continue to host our Analyst/ Investor Call for the first and third quarters in the future. The presentation of the half year and the full year results will be held jointly by our CEO, Bert Habets as well as Martin. With this, I now hand over to Martin.
Martin Mildner: Thank you, Dirk, and good morning, everyone, also from my side, and thanks for joining our results call on the third quarter and the first 9 months of this year 2023. Before we will go into the details, let me give you a quick overview of the most important developments and results of the last quarter, which you can find as a summary on Page 4 of our presentation. So first, organically, group revenues developed almost stable compared to the previous year despite the continued challenging macroeconomic environment. Our adjusted EBITDA even increased slightly for the first time in 2 years. Entertainment advertising DACH revenues are still declining in the third quarter. And nevertheless, our focus on digital entertainment paid off. The decline in TV core advertising was partially offset by dynamic growth in digital and smart advertising DACH revenues. One of the driving factors was the success of our streaming platform Joyn. Furthermore, we saw a positive development in revenue and adjusted EBITDA in the Commerce & Ventures segment, especially in our digital platform commerce business of the new group. In contrast, our Dating & Video segment was still impacted by lower consumer spending and regulatory headwinds in the DACH region. Additionally, we saw a decline in the use of our video services in the U.S. We're streamlining our organization. We achieved 2 major milestones. On the one hand, we implemented and complemented our cost and efficiency program in the third quarter. By the way, we expect gross savings of €100 million to be realized in our fiscal year 2024. Already in Q4 this year, savings in the low double-digit million euro range will become visible. But on the other hand, we should not forget this program was not only a cost reduction program, but also included a strategic reorganization where we were able to bring the classical TV departments closer together with our joint organization to lay the foundation for a fully integrated collaboration between our linear TV and our digital streaming offerings. Last but not least, we are specifying our financial outlook with the expected slightly positive development in the fourth quarter. We now expect our group adjusted EBITDA to be at the lower end of the target range communicated at the beginning of this year. For group revenues, we expect to achieve a figure slightly below target range. With this, let me now guide you through our financials for the third quarter and the first 9 months of the year. After demanding first half, group revenues for the third quarter amounted to €888 million and for the first time -- first 9 months to €2.571 billion. On an organic basis, which means adjusted for currency and portfolio effects, group revenues were almost stable in Q3, declining slightly by 1% to €866 million. On a 9-months basis, revenue still decreased organically by 7% to €2.511 billion. These results reflect the continued challenging macroeconomic environment, which has led to consumers' uncertainty and the reluctance of consumers to spend in the advertising market. As a result, group advertising revenues declined by 7% in the third quarter and by 10% in the first 9 months. However, at minus 6% in the third quarter, the decline in advertising revenues in the DACH region was less pronounced than in the first half of the year, which declined by 13%. Despite the weak advertising market, the group's adjusted EBITDA in the third quarter was above the previous year's level for the first time since 2021. It amounted to €110 million. This result was driven by targeted cost measures, in particular, on programming costs in the Entertainment segment to compensate for lower revenues. However, profitable revenue growth in the digital Platform & Commerce business also made a significant contribution to the adjusted EBITDA increased by 2% in Q3. The full consolidation of Joyn had an offsetting effect. Please also note that pro forma adjusted EBITDA, including the acquisition of Joyn was about €90 million in Q3 2022. On this basis, the adjusted EBITDA increase would have been more than 20% compared to the previous year quarter, which also reflects Joyn's improved profitability. For the first 9 months of the year, the group's adjusted EBITDA was €243 million, which represents a decrease of 35%. Adjusted net income declined by 41% in Q3. Higher interest and tax expenses mainly offset the increase in adjusted EBITDA. On a 9-months basis, adjusted net income decreased to €12 million, reflecting the lower adjusted EBITDA. Adjusted operating free cash flow improved by 62% in Q3 '23, supported by lower programming CapEx. However, the development in the first 9 months was still burdened by the weaker advertising business as well as of an increase of programming CapEx compared to last year. Let's turn to Page 7 and take a closer look at our Entertainment business. In the third quarter, Entertainment segment's revenues amounted to €598 million, a decrease by 4%. On a 9-months basis, revenues were down 16%. Entertainment advertising revenues in the DACH region declined by 5% in the third quarter. The decline was again due to the difficult macroeconomic environment and the associated effects on the advertising market. The decline in TV core advertising revenues was partially offset by strong growth in digital and smart advertising revenues. These revenues were growing by 16% in the DACH region, mainly due to the strong revenue growth of the streaming platform Joyn and the dynamic growth of the audio sector. Advertising revenues from programmatic trading also showed a positive development. But however, on a 9-months basis, advertising revenues still decreased by 9%. The distribution revenues developed positively increased by 3%. Higher reach and increased HD penetration have more than offset the losses of Joyn revenues following the acquisition last year. Content revenues decreased by €2 million in the third quarter as a result of the full consolidation of Joyn. The 9 months revenue decline of €199 million was mainly due to the disposal of our U.S. production business, Red Arrow Studios in July 2022. Its contribution to revenues in the same period last year was €136 million. In addition, the business still benefited from the production of the Anansi Boys series, which generated revenues in the mid-double-digit million euro range in the first 9 months of last year. The other revenues benefited from the full consolidation of Joyn and its SVOD revenues. The adjusted EBITDA of the Entertainment business decreased by 7% in the third quarter and by 44% in the first 9 months. This result was mainly driven by the decline in high margin advertising business. The group responded by managing its program costs more efficiently, which decreased by 11% year-on-year to €215 million in the third quarter. The full consolidation of Joyn also had a negative impact of €9 million on the third quarter adjusted EBITDA. These developments also characterized the period from January to September. The adjusted EBITDA fell 44% year-on-year to €177 million. At the same time, programming costs decreased by 7% to €681 million. Please turn now to Page 8, which shows the development of our Commerce & Ventures business. The Commerce & Ventures segment grew 14% in the third quarter and 11% in the first 9 months. On a portfolio and currency and adjusted basis, segment revenues grew 16% in the third quarter and 12% in the first 9 months. The segment's performance was characterized by a mix of declining advertising revenues in the SevenVentures' business and offsetting revenue growth in the digital Platform & Commerce business. SevenVentures continued to face a challenging market environment on 2 fronts. Rising interest rates led to higher in financing costs in the client side and the recession and the inflation reduced the willingness of existing clients to invest in advertising. For many growth companies such as start-ups, reducing marketing expenses was therefore the most obvious decision for improving profitability to offset lower growth, and this being reflected in lower advertising spend. However, the digital Platform & Commerce business showed significant growth, in particular, the positive development of the online comparison portal Verivox and the Beauty & Lifestyle asset flaconi contributed significantly to revenue growth. Looking at Experiences, we see a decrease of €3 million in the third quarter of 2023, mainly due to the disposal of Regiondo in June 2023. Its contribution to revenues in the same period last year was €2 million. I would also like to comment on the performance of Jochen Schweizer mydays. Voucher sales are developing in line with our expectations. With the implementation of the new business model, we expect the business to resume its growth path and lead to a high contribution to revenues in the fourth quarter of this year. Adjusted EBITDA of the Commerce & Venture business segment increased to €8 million in the third quarter of 2023. The positive development reflects both the dynamic growth of the Consumer Advice and Beauty & Lifestyle verticals as well as an improved profitability of the Experience businesses. For the first 9 months, period adjusted EBITDA increased to €14 million. Here too the more profitable revenue development at Verivox and Flaconi had a very positive effect compared to the previous year. Let's now have a look at the performance of our third segment, Dating & Video. Revenues in the Dating & Video segment amounted to €108 million in the third quarter and €332 million in the first 9 months 2023, representing a decrease of 17% and 15%, respectively. Adjusted for portfolio and currency effects, the revenue decline was 12% in the third quarter. However, on a positive note, we saw a stable substantial revenue development in Q3 compared to Q2 2023. The dating business contributed €62 million to segment's revenue in Q3. The 12% decline in revenues is mainly driven by the implementation of the fair consumer contract regulations and the continued consumer restraint in the German-speaking markets. The fair consumer contract regulations in Germany, which came into force in March last year, have affected Parship and ElitePartner subscription business negatively impacted dating revenues from Q3 2023 onwards with a more significant impact from Q2 2023 onwards. The video segment revenues declined by 22% compared to a challenging comparative period as the business has still benefited from COVID-19 related tailwinds in last year. The ParshipMeet Group has particularly the business -- has the video business to further offset the revenue decline. The adjusted EBITDA of the Dating & Video segment decreased by 28% in the third quarter and by 21% in the first 9 months of 2023, mainly driven by the decline in revenues. So let me continue with comments on the current financial leverage and our net debt development. As you can see on Page 10, at the end of the third quarter, the group's net financial debt amounted to €1.775 billion. The increase of €37 million in net financial debt compared to the end of the previous year's third quarter is in line with our expectations and is mainly driven by the decline in the group's cash generation as a result of lower profits over the last 12 months. Compared to the end of last year, the reported increase in net financial debt is mainly due to the group's cash flow development and its usual seasonality. Furthermore, the decline in adjusted EBITDA is leading to an increase of the financial leverage to 3.3x at the end of the third quarter of this year, which is above our target range of 2.5x to 3x for the end of this year. But having said this, please be reminded that the fourth quarter is the strongest quarter in terms of cash generation. And we expect the lion's share of this year's free cash flow will be generated in this time period. Therefore, we expect a significant reduction in our net financial debt by the end of the year. And the year-end financial leverage should return to the year's target of 2.5x to 3x. By way of comparison, even in the significantly burdened fourth quarter of last year, our net debt was [failing] by €126 million. So let's continue with our operational update. As I mentioned, we saw an increase in digital and smart advertising revenues in the DACH region in the past quarter. This also results in a notably improved monetization of our streaming platform Joyn. Joyn is the center of our digital activities going forward, and we are working full speed on its expansion. In Q3, we started our first fast channel that already generated 1 million marketable video views. We are continuously broadening our content offerings. One way of doing so is investing in creative ad content. The influencer event Real Life Eligella Cup was our third strongest live event ever. And lastly, we underlined the success of our international expansion. Joyn Austria added over 400,000 monthly video users to join in the past quarter. By that, we strengthened Joyn's position in the market and increased all of our KPIs. Monthly video users grew by 13%, while minutes video view time also increased slightly. Joyn's AVOD revenues grew by 58% compared to the previous year quarter. This underlines again that our focus on digital and smart advertising format is paying already off. Let us now have a closer look at the advertising market. In the past years, the German TV advertising market has been strongly influenced by macroeconomic developments. The Ukraine war, the subsequent energy crisis and the associated consumer restraint was leading to a significant downturn in 2022 and that is still ongoing in 2023. Germany was impacted even more strongly than other European countries. Compared to a European average, including the larger TV advertising market of the U.K., France, Italy and Spain and compared to pre-pandemic levels in 2019, the net TV advertising market in Germany is about 11% points lower. Despite the stabilization in the second half of this year, the TV advertising market is expected to decline by a mid-single-digit percentage rate in 2023. But nevertheless, we are currently growing dynamically in digital assets, which partially offset the decline in DACH TV core advertising revenues. Due to various initiatives in this area, we assume that this positive development will continue even in a potentially continuing difficult advertising market environment. So let us have a closer look at the automotive industry. As you can see on Page 15, a sector that has particularly cut advertising budgets which contributed to the overall challenging market development. Driven by supply shortages, many manufacturers have focused on selling premium models without much advertising. According to the Nielsen report, this led to a reduction in gross advertising expenses of 40% in this industry. Nevertheless, we even managed to secure budgets from this industry. Cupra, for example, worked with us on the voice rep format. Now we are looking cautiously optimistic into the future. Many international car manufacturers as well as new players are entering the market while the German industry is focusing on volume models again. We, therefore, firmly believe the advertising investment of the automotive sector will develop better in the future and should sooner or later be one of the main drivers of future advertising growth. Let us now look into our Commerce & Ventures segment. In terms of the operating performance in the third quarter, Verivox and flaconi especially contributed to the strong revenue growth in the Commerce & Ventures segment. Verivox benefited from the recovery of the energy market, which led to an interest in switching contracts among consumers and the corresponding growth in traffic. Here, revenues increased strongly by 102% in the third quarter comparing it with Q3 2021, the level before the energy crisis, Verivox also grown dynamically by 30%. Flaconi's revenue grew by 17%, driven by the high demand for only beauty and retailing. At the same time, we improved assortment, marketing and logistics to further improve our profitability. So let me conclude the presentation with our financial outlook for 2023, which you can find on Page 17. The visibility of the macroeconomic development in our core markets remains limited. Contrary to the Economic Research Institute expectations from this summer, they are currently assuming that the economic slowdown in the DACH region and especially in Germany, likely will continue. However, private consumption should gradually recover as a result of declining inflation and lower energy prices. While ProSiebenSat.1's business was challenged by the weakness of the advertising market in the first half of this year. The group financial performance stabilized in the third quarter of this year. In the fourth quarter of this year, we, as ProSiebenSat, again, expect a slightly improved revenue and earnings performance compared to last year. Advertising revenues of the entertainment segment in the DACH region are expected to be at previous year's level, reflecting a continuous improvement. Strong growth in the digital entertainment portfolio is expected to compensate for the currently still declining TV advertising revenues. For ProSiebenSat, the fourth quarter is traditionally the quarter with the strongest revenue and earnings. Having said this, we now expect the group's adjusted EBITDA for the full year to be at the lower end of our guided target range. For group revenues, we expect to achieve an amount slightly below the initial target range, which we communicated at the beginning of this year. The other most important financial indicators of the group we developed in line with adjusted EBITDA. For the leverage ratio, the group continues to expect to achieve a value between 2.5x and 3x at the end of 2023. So thank you very much for listening. And I'm now looking forward to your questions. But beforehand, I'd like to hand over to our operator again.
Operator: [Operator Instructions] We will take our first question Annick Maas from Societe Generale.
Annick Maas: So my first question is just if you could maybe tell us how you think about midterm leverage, so just beyond 2023? My second one; and I guess it goes kind of hand in hand. How are you thinking about the monetization of some of your assets, I guess, you put out here flaconi and Verivox as doing particularly well, so can we expect something imminently there? And then, the last one, just on your fourth quarter guidance, so you say slight group revenue growth, where does advertising fall into that guide?
Martin Mildner: Okay. To your first question regarding the midterm leverage, I think we always announced that we also, in the longer run, see our leverage in the target range of 2.5x to 3x, and this is also still the case to date. Regarding your second question, regarding the monetization of assets, and the question, in fact, that Flaconi and other assets are developing, so whether this change in our mindset. I think currently, the environment for transactions is not the best one. So therefore, it's really helped for these assets, which are in our thinking which we can think about for selling these assets. It helps us quite a lot that they are running really well. But this does not change our mind that we really like to focus more on our core assets like the entertainment part. So therefore, it does not change our mindset. But it helps us currently in this environment that they are running well and that we do not have such a hurry to make divestments on these kinds of assets. With respect to the advertising of the entertainment business in light of the overall revenues, I think what we said is that the advertising business is in the next quarter, hopefully flattish, which means that the core DACH TV advertising is still a little bit in the region of a minus, but is compensated by the good digital advertising revenues. So therefore, we expect that the advertising revenues this year will be in the fourth quarter, flattish and therefore, a little bit in a minus over the entire year.
Operator: We'll take our next question, Julien Roch from Barclays.
Julien Roch: Coming back on advertising, the press release talks about same level as last year, but RTL is guiding to mid-single-digit decline outlook. So if I put minus 5 for TV only, then, digital and smart advertising needs to be up 30% in Q4 for Q4 German-speaking advertising to be flat. So one, do you agree with these numbers? And two, why will Digital and smart accelerated so much from 15% in Q3? That's my first question. The second one is you give us monthly video users and video view time for Joyn on a quarterly basis as KPI. But we don't get total number of minutes in German-speaking for linear and on-demand. Can we get that? Because you give us the split for advertising between linear and smart, so it would be good to have the same for minutes. And my third question is that -- is saying that TV is losing share because TV is in viewers. And advertisers are planning their kind of traditional video campaign, 80% TV, 20% outdoor public video versus 100% TV in the past. Do you agree with to or not?
Dirk Voigtlander: Julien, this is Dirk speaking. So maybe let me take the first question in terms of advertising performance in the fourth quarter. Just to remind you, RTL is usually referring to the TV advertising revenues only. In our case, as you know, we have a guidance for German-speaking advertising revenues, which not only includes the TV business, but also the digital business. As Martin just said, we also expect a single-digit decline in terms of TV advertising revenues. But digital is expected to continue to grow dynamically also in the fourth quarter. And as a result, we assume roughly flat German-speaking ad revenues in the fourth quarter. So then maybe the second question also for Joyn. You have seen -- you might have seen in our presentation, we also referred to the video view time, we had 6.2 million minutes of video view time in the third quarter, which is a slight increase compared to last year. However, maybe also worth highlighting that the number of monthly video users was up 13%. And as the AVOD revenues show the monetization has obviously meaningfully improved compared to last year because we have seen an increase by 58%. And Martin, would you like to comment on to?
Martin Mildner: So the third quarter -- the third question was regarding the analysis of the expectation of Astral regarding the split in the advertising business. I think we see a clear need from the advertisers to still have a huge share on the TV advertising effect that you are reaching much more target groups through TV as through digital where you really have to separate it more through different kind of channels. So therefore, we do not see a huge shift in the behavior of the advertisers. And by the way, please go on.
Julien Roch: No, no, thank you for answering my third question. On my second question was can we get the total number of minutes? I know you gave us the 6.2, but that's only Joyn. So that's only on demand minutes. Can we get the total number of minutes in general?
Dirk Voigtlander: You mean for the whole group, Julien?
Julien Roch: Yes, in German-speaking.
Dirk Voigtlander: Yes, we can follow up on that. We don't have it available right now.
Martin Mildner: And before we come into the next question, maybe just one remark that the leverage of 2.5x to 3x is, of course, only for this year, yes. So for the long term, it is, of course, still the same 1.5x to 2.5x range only to clarify this that you do not misunderstand this.
Operator: We'll take our next question, Conor O'Shea from Kepler Cheuvreux.
Conor O’Shea: Three questions from my side as well. Just first question; you mentioned the return of Verivox to pre-energy crisis levels in terms of revenue. I wonder if we could have some update on the profitability of Verivox and Flaconi particular Flaconi; is it past the breakeven point at this level of revenues? Second question on the debt, can you just remind us some of the covenants, I think you're pretty covenant light in terms of the debt conditions where you renewed, but if you could just confirm that. And then the third question, yes, on the video views on Joyn and the fact that it was only up 1% year-on-year in the third quarter. I wonder if anything unusual holding that down unusual weather or broadcasting events or something that made that slowed that growth versus the previous quarter.
Martin Mildner: Thanks a lot for your questions. Regarding your first question with respect to Verivox, I think they are not on the level of the pre-energy crisis. They're above the level of the pre-energy crisis, in order to give you some positive -- more positive notes on this. And we really see this not only from a revenue perspective that they are growing so much. But also, of course, Verivox was always very profitable that the profitability is back also on track and the same is -- not the same. But with respect to Flaconi, they were in the past years, slightly negative. And with our cost measure initiatives and better structures, as I mentioned, with respect to the logistics, warehouse and so on. We are going more and more into a breakeven situation. They are already breakeven on a monthly basis. But we would expect next year that this business is not only running the same way as this year, but getting also at some point of time, profitable over the entire year. And regarding your second question on the debt position, there's no change at all. In fact, the debts are still the same as before. We only prolonged one of the facilities for 1 year. But nothing has changed in our governance -- in our structure regarding the terms and conditions, so therefore, no change in this way. With respect to Joyn, there's nothing unusual. So therefore, the 1% in Q3 is not showing any impacts on slowing down the growth. And as you see from the advertising revenues, we are really happy with the development of Joyn.
Operator: [Operator Instructions] We'll take our next question, Adrien de Saint Hilaire from BofA.
Adrien de Saint Hilaire: So thanks, Dirk, for mentioning the single digits TV core for Q4. Could we have an idea of how that pans out between October, November and December? And related to this, we've now seen 2 years in a row of decline in TV core ad revenues despite the overall German economy growing on a nominal basis. How do you think about TV core advertising for '24 and onwards? And then, secondly, I was -- sorry if you've mentioned this before. But are you still repeating the guidance for programming expenses to be about €1 billion. I think it was running at €600 million-ish for the first 9 months and how much in cash programming expenses as well.
Dirk Voigtlander: Adrien, on the advertising performance in the fourth quarter. So for the quarter as a whole, as I said, TV core ad revenues will be down single digit for German speaking about flat. And I can maybe give you a guidance for German speaking ad revenues on a monthly basis. Here, we saw still a single-digit decline in October. We have an about flattish performance in November, which, by the way, is also the most decisive month in terms of the size as it contributes about 40% to the quarterly revenues. And in December, we expect an improvement compared to last year. However, please keep in mind that the prior year was also negatively affected by the World Cup, which was aired on the public broadcast in channels, so there is certainly also a little bit of a favorable comparable effect. Nevertheless, I mean, we also referred to the sequential improvement throughout the year. There we are coming from minus 13% in the first half have seen a decline of still 5% in the third quarter and are now guiding for around about flat revenues for the fourth quarter. So independent of the comparable figures, you can clearly see that there is a bit of a sequential improvement throughout the year, which might be a sign of a stabilization on a certainly lower level. And maybe on programming, Martin, would you like to comment? Yes, okay. Then, maybe let me also comment on that. We have, as you know, a guidance of roughly €1 billion in terms of programming expenses. Please keep in mind that the number you are seeing in the cash flow statement, which is, I think, the number you also referred to only includes the consumption of our content, i.e. the content which has also been brought to the balance sheet on the basis of either still existing output deals, but also any other rights which we might acquire. Please also keep in mind that you need to add programming expenses, which are directly expensed in our adjusted EBITDA or in the profitability of the segment. Hence, we can actually reiterate this guidance of roughly €1 billion. But as you could see, we have also spent cautiously on programming in the third quarter, which is, to a certain extent, also the result of a more difficult market environment. But going forward, I think there is -- we will certainly return to that kind of level. And in general, there is a willingness to continue to invest in programming, should there be a good opportunity to capitalize on any potential investment. So we are a business which we want to grow in the future. Therefore, in the medium to long term, you should also be prepared for further increase in programming expenses, but this should come along with a revenue increase as well.
Martin Mildner: And maybe let me add from a more 10,000 meter perspective. The program CapEx or the program investments, as Dirk said, some of the investments are not going into the consumption, but going directly into the P&L, like our own formats like taff or whatever. Our shift will be going more to the local content, production of local content versus the U.S. content. And if you look at our current market shares in our local content like Joko and Klaas, you see really high market share. So therefore, I think this also analyzed our key strategy to focus on our local content and to be still successful on these kinds of formats. And we do not see any need to reduce our spend on the programs from this point of view.
Dirk Voigtlander: Okay. Ladies and gentlemen, this was the last question for today's call. As always, my colleagues in the Investor Relations team and myself will be available for any follow-up questions shortly. Thank you. Thanks, everyone, and goodbye.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.